Operator: Good morning ladies and gentlemen, and welcome to the Q2 2019, W.R. Grace Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] I would now like to introduce your host for today’s call, Mr. Jeremy Rohen, Vice President of Corporate Development and Investor Relations. Mr. Rohen, please go ahead.
Jeremy Rohen: Thank you, Sherry. Hello, everyone, and thank you for joining us today for Grace's second quarter 2019 earnings call. With me this morning are Hudson La Force, Grace's President and Chief Executive Officer; and Bill Dockman, Senior Vice President and Chief Financial Officer. Our earnings release and presentation are posted on our website under the Investors section at grace.com. Please note that some of our comments today will contain forward-looking statements based on our current view of our businesses and actual future results may differ materially. Please see our recent SEC filings, which identify the principal risks and uncertainties that could affect future performance. We will discuss certain non-GAAP financial measures, which are described in more detail in this morning's earnings materials. Reconciliations of non-GAAP financial measures and other associated disclosures are contained in our earnings materials and posted on our website. This morning Hudson will address our second quarter business performance and recent events impacting our third quarter and full-year results. Bill will cover our second quarter consolidated financial results and provide an update on our outlook. We will then open the call for your questions. So, with that, please turn to Slide 4 in our earnings presentation, and I'll turn the call over to Hudson.
Hudson La Force: Thank you, Jeremy. Good morning everyone. Our team delivered a solid second quarter with good sales and earnings growth. We made significant progress with our commercial and operating excellence initiatives and our strategic growth investments. For the quarter, sales and adjusted EBIT were up 6%, and adjusted EPS was up 8%. Catalyst technology sales were up 9%, and operating income was up 10% on strong organic volume growth and improved pricing. For the first half Grace's sales and adjusted EBIT was up over 7%, and adjusted EPS was up 10% in-line with our plan for the full-year. Across the company, our commercial excellence investments are creating value and our focus on value selling continues to produce results. In the quarter, pricing improved 270 basis points with gains in every business. FCC catalysts pricing improved well over 200 basis points for the trailing 12 months and momentum remains positive. Our operating excellence investments are also creating value. Since Q3 2017, we’ve made one-time investments of $17 million in our Grace Manufacturing System or GMS and have already realized over $15 million in annual earnings benefits, primarily from higher production volumes at sold out plants, due to increased throughput and reliability. We’ve completed GMS implementations at five of our biggest plants and started a sixth implementation last quarter. The rollout to our remaining 15 sites will occur over the next 2 years to 3 years with minimal additional investment. Based on our success today, we’ve upgraded the expected annual benefits of GMS from 50 basis points to 75 basis points. Some of this will drop to the bottom line, but most will be reinvested to support future growth. I remain very confident in our long-term growth outlook, the value of the capital and operating investments we are making and the strong strategic position of our businesses. The recent events will talk about next, do not change that. Please turn to Slide 5. We recently experienced three discrete events that will negatively impact our Q3 and full-year results. We expect these events will reduce full-year sales by about 2%, and have a net impact to earnings of between $15 million and $17 million. Most of the sales and earnings impact will affect Q3 results and most of the actions to offset the impacts will be seen in Q4 results. First, a North American FCC catalyst customer experienced an explosion in fire at their refinery June 21 as we communicated that day. The customer has filed for Chapter 11 bankruptcy protection and indicated they will not resume refinery operations. We immediately began commercial efforts to replace the lost volume and expect to see results beginning in 2020 given the sales cycle for FCC catalyst technologies, and our continued focus on value selling. We also immediately adjusted our manufacturing operations to address the lower demand expected for the balance of this year. Compared to our prior outlook, we expect this event to reduce our second half earnings by about $12 million, reflecting loss margin, the costs of adjusting our manufacturing operations, and the potential write-off of our accounts receivable. This is an insured business interruption event and we have begun discussions with our insurer. It is too early to know the exact amount and timing of the insurance recovery. We’ve included our current estimate of insurance recovery for 2019 in our updated outlook for this year. Second, in specialty catalysts, a major customer informed us they are temporarily, but significantly reducing production of one of their product lines in response to the decline in global automotive production. This customer specific inventory correction will result in a meaningful decrease in catalyst sales and production in the second half of the year. Compared to our prior outlook, we expect this event will reduce full-year earnings by about $9 million. We have also adjusted our manufacturing operations to address this change in demand. As a note, we estimate about 7% to 8% of specialty catalyst sales going to automotive end users. So, this customer inventory correction is a significant change, but in a small end market for us. Finally, in materials technologies, we experienced an equipment failure that resulted in a disruption to one of our silica manufacturing plants that will produce earnings in the second half of the year by about $8 million, including costs to correct the failure and higher costs incurred to serve customers, and minimize any impact to their operations. Operations are now restored and the effected plant is fully back online. Although GMS was note yet implemented at this plant, the GMS disciplines and problem-solving approaches helped us minimize the cost and downtime caused by the incident. We have taken decisive actions to offset the operational and financial impact of these events. Most significantly, we have eliminated $11 million in operating costs, including headcount reductions, differed hiring, and other spending reductions. Our team has responded very quickly to these events. They do not change our strategic direction or my conviction about the earnings power of our businesses, nor do they change my confidence in delivering our five-year financial framework. Now, let’s turn to Slide 6 and look at our second quarter business performance. In Specialty Catalysts, organic sales were up 11%. We saw strong demand for our catalysts and licensing technology as customers seek to maximize the value of the resins they produce. We have received some questions from investors about the Polyolefin's market. At this point, we have seen no significant changes in aggregate customer demand other than the customer specific inventory correction mentioned earlier. We are closely monitoring demand and inventory levels to ensure we are able to react quickly to any future change. Our commercial excellence and operating excellence practices help ensure we are well prepared to take action if necessary. For Polypropylene Licensing, this month, we announced our third UNIPOL license of the year and expect to announce a fourth license in the coming days. We have a robust pipeline for our UNIPOL process technology, reflecting strong long-term demand for polypropylene and for our process and catalyst technologies. We remain upbeat about the growth opportunities and the licensing business and the benefits it will bring to future polypropylene catalyst sales. In Refining Technologies, sales were up 6% on good volume growth, and strong pricing. FCC catalyst pricing momentum continued and for the trailing 12-months improved well over 200 basis points. The business remains on track to deliver greater than 200 basis points of improved price for the full-year. ART continues to see strong demand for HPC catalysts and we expect this to continue as the demand for cleaner fuels increases and IMO 2020 is fully implemented. We have seen a delay in sales volumes in ART due to timing of start-ups [indiscernible] deliveries and expect Q4 to be a very big quarter as we work with our customers to be fully ready for IMO 2020 implementation. Let’s turn to Materials Technologies on Slide 7. In Materials Technologies, Q2 sales were down 3% on a very tough compare. Q2 2018 was a record sales, margin, and earnings quarter for MT. This quarter, sales were up 2% on a constant currency basis, primarily from improved pricing. Sales volumes were up slightly on continued strength in consumer pharma end markets that offset weakness in the coatings market and order timing in chemical process markets. Year-to-date, MT sales increased 5% on a constant currency basis. Sequentially, gross margins and earnings were essentially flat and in-line with our outlook from Q1. We continue to experience good overall demand for our MT products led by consumer Pharma, but are seen some slowdown in demand in the global coating’s markets, the Asia Pacific region, and certain plastics end market. In these end markets order rates have slowed, but we have seen no signs of an inventory correction development. The Materials Technology team continues to execute its strategy of focusing on faster growing more strategic markets to drive volume growth and margin expansion. These more attractive end markets are expected to contribute two-thirds of the business’ sales growth in the future. In May, we announced that Bill Dockman had been elected as Grace's Senior Vice President and Chief Financial Officer. Many of you met Bill during Q2, at one of the investor conferences or NDRs. He’s a trusted partner, and I'm delighted to have him as our CFO. I’ll now turn the call over to Bill, who will discuss our financial results and outlook in more detail.
Bill Dockman: Thanks, Hudson. Turning to Slide 10, let's begin with our second quarter results. Second quarter sales as reported were $514 million, up 6% and up 8% on constant currency. Topline growth was driven by higher sales volumes and improved pricing in all our business. This more than offset $11 million in currency headwinds, due to the continued strength of the U.S. dollar versus the euro. Adjusted gross margin for the quarter was down 40 basis points year-over-year, primarily due to a very tough compare in MT. Sequentially, adjusted gross margin was up 130 basis points driven by higher sales volumes. Adjusted EBIT was up 6%. Adjusted EBIT margin was up 10 basis points year-over-year, and up 250 basis points sequentially. Earnings for our ART joint venture were down $2 million year-over-year. Adjusted EPS for the quarter was $1.16 per share. Year-to-date, adjusted free cash flow was down $42 million, due to higher CapEx spending and timing of working capital changes, compared to the prior year. Now let's turn to Slide 11. We remain focused on executing our disciplined capital allocation plan to support our organic growth initiatives, pursue bolt-on acquisitions and create shareholder value. In the second quarter, we invested $46 million of capital into our plants and are on track to invest between $200 million to $210 million in 2019. Our capacity investments are timed and sized to meet identified customer demand. To this point, over 90% of our current growth capital investments are tied to specific customers, contracts or licenses providing a strong line of sight to the demand to support these investments. In June, we announced a small bolt-on acquisition in Refining Technologies. We acquired Rive Technology’s business, including its unique zeolite technology that improves the performance of traditional FCC catalysts, especially in the polypropylene max applications. This is a good example of the type of tuck-in acquisitions that help drive our long-term strategies. In the quarter, we returned $43 million of cash to shareholders through our cash dividend and share buybacks bringing our total returns year-to-date to over $66 million. At the end of the quarter, our net leverage was 3.2 times, up 0.1 times from Q1, due to the acquisition. We remain committed to our target net leverage range of 2 times to 3 times. We have prioritized the use of excess cash to reducing net leverage over increased share buybacks. With that said, we remain open to additional strategic acquisitions when compelling bolt-ons are available. Moving to Slide 12, let's look at our revised 2019 outlook. For the full-year, we expect year-over-year sales growth to be in the range of 4% to 5%, down from 6% to 7% in our prior outlook. At the segment level, we continue to expect 2019 year-over-year sales growth for Specialty Catalysts in the high-single digits and for Refining Technologies in the low-single digits. For Material Technologies, we now expect low-single digit topline growth. For the full-year, our revised EPS outlook range is now $4.35 to $4.43 per share, down from $4.53 to $4.62 per share. And our adjusted EBIT outlook range is now $475 million to $483 million, down from $490 million to $500 million. The $15 million to $17 million of lower earnings includes the expected savings from cost reduction actions and proceeds from insurance recoveries in 2019. From a timing perspective, we believe most of the adverse effects of these impacts will affect Q3 results or most of the cost reduction actions and insurance recoveries will likely benefit Q4. We expect third quarter adjusted EBIT will be down 15% to 19% year-over-year. Our adjusted free cash flow range of $235 million to $250 million remains unchanged from our prior outlook. We expect full-year inflation to be about 100 basis points with the low-end of our prior inflation outlook of 100 basis points to 150 basis points. However, we now see greater headwinds from FX in the second half with the continuing strength of the U.S. dollar. With that, please turn to Slide 13 and I will turn the call over to Hudson for closing remarks.
Hudson La Force: Thank you, Bill. We had a strong second quarter and first half. It's disappointing that the three events will negatively impact our results in the second half. Our team has acted with a strong sense of urgency to offset the effects of these events with cost reductions and other actions. These events delay our progress, but they do not change our direction or our goals.  Grace is a resilient company. We are not immune to changes in the global macro-environment, but the end-market and regional exposures we have are well diversified and/or very stable. We have low exposure to emerging market currencies and almost no direct exposure to US-China tariffs. Just as important, when things do change, we have a strong track record of quickly adjusting and taking action where needed. With that, let’s open the line for your questions.
Operator: Thank you. [Operator Instructions] Our first question comes from John McNulty with BMO Capital Markets. 
John McNulty: Yes, good morning. Thanks for taking my question. So, if we look at the catalyst customer outage, it looks like on an annualized basis it would be about a $24 million kind of hit. I guess – as we look to 2020, and admittedly it's far away, but you're taking the actions to try to, I guess, find homes essentially for that catalyst. I guess how much of that do you think realistically you can make up as we look to 2020?
Hudson La Force: John, it’s Hudson. Thank you for the question. Let me just build out a little bit of color on the $12 million. In that $12 million, there is lost margin on sales that won't occur this year. There are some costs that we've incurred to adjust our manufacturing operations and there is a write-off of the – an assumed write-off of the receivable from them once they file bankruptcy. And so, the $12 million that you're saying isn’t all margin that needs to be replaced through new selling activity, maybe half of it is margin that needs to be replaced by new selling activity.  It will take some time. We want to maintain our focus on value selling. I expect benefits beginning early in 2020 from the new sales efforts we’ve undertaken. Over time, our intention is to maintain our market share in this business as we’ve talked about before, and it'll take a couple of quarters to re-strike that balance, but it won't take as much as a year or anything like that.
John McNulty: Got it. No, that's hugely helpful. And then, just as a follow-up, on the Materials Tech weakness, it sounds like some of it, you know, obviously, North American coating season was a bit of a disaster given all the wet weather and same even with Europe. I guess have you started to see trends improving in some of the areas where you'd kind of seen the weakness in the second quarter? Or is it a little bit early for that?
Hudson La Force: Yes, it’s – this is something that we saw starting to develop in Q4 for us, mostly in Asia, and we saw some stability relative to Q4 and Q1. It looked like things had stabilized, got a little weaker in Q2, but nothing significant. So, this is more about year-over-year weakness than sequential changes in weakness if I can summarize it that way.
John McNulty: Got it. Thanks very much for the color.
Operator: Thank you. Our next question comes from Christopher Parkinson with Credit Suisse. 
Christopher Parkinson: Great, thank you. You've seen some of your key ROCE ease into the second half, and although, some are naturally hedged directly or indirectly. Can you just comment on what you're seeing overall in your COGS basket procurement, and then, just reconcile that with the price trends so we just get better sense of the gross margin outlook? Thank you.
Hudson La Force: You bet, Chris. So, you know for us cash costs on our raw materials peaked in Q1 and raw material costs have moderated a little bit since then. It’s not significant. I think Bill commented, we thought full-year inflation would be between 100 basis points and 150 basis points when we gave our initial expectations back in the beginning of the year. We’re seeing it closer to about 100 basis points now, and most of what that is, is we thought we’d see some higher costs, Q2, Q3, Q4. But it looks like now that Q1 is going to be the top for us.
Christopher Parkinson : Got it. And just a quick follow-up, just on the pricing side in Cat Tech, you’ve been doing pretty well. It’s been – obviously you’ve had several quarters of just in excess of 200 bps on a TTM basis. Can you just talk about the discipline that you’re seeing in the industry? Is that still doing well even with the economic malaise? And just give us – I mean, you know, just give us a little color on how others are acting? Thank you.
Hudson La Force: Yes. No, great question, Chris. So, I’ll take this as a refining catalyst question. In FCC catalysts, the – we’re – we like the environment that we see. The demand for transportation fuels has been good. Production rates and utilization rates for the different competitors seem to be in line with historical levels. And so, that’s been constructive for us. On the hydroprocessing catalysts side, we’ve seen – we look at it as margins because of the metals pass-through, but we’ve seen an improvement in margins in our hydroprocessing catalysts business that really reflects the strong demand in those products.
Christopher Parkinson : Okay, thank you.
Operator: Thank you. Our next question comes from Kevin McCarthy with Vertical Research. 
Kevin McCarthy: Yes, good morning. Thank you. I appreciate all the color you’ve provided on the three discrete items. I was wondering if you could parse it into the expected impact on the third quarter, specifically, and kind of bridge us to the decrement that Bill referenced in his prepared remarks?
Hudson La Force: Sure, Kevin. It’s – the vast majority of these negatives are going to hit Q3 and if you think about each piece, for the FCC catalyst customer, there’s obviously a part that’s lost sales in Q3, but we also have the cost of the manufacturing adjustment and the receivable that we expect to write-off in Q3. On the SC customer inventory, again, most of that change is volume that was expected in Q3 and there are costs in there that will incur to keep our manufacturing operations in line. For the MT, the manufacturing disruption in Material Technologies, this happened in Q2. There were costs that we incurred into Q2, about $2 million, but most of the costs got capped – inventory accounting got capped up in Q2 and then will flow through Q3. And so, those are the different pieces, Kevin. If you think about the cost reduction actions, we began taking actions as soon as, you know as soon as these events occurred. Some of those actions have immediate effect, most will take some time to get fully implemented and we expect most of the benefits to occur in Q4. And then, our current expectation on the insurance recovery is that it will be 100% in Q4. It’s going to take us some time to work through all of this with the insurance company.
Kevin McCarthy : Okay. Thank you for that. And then, just wanted to ask you about the specialty catalyst customer inventory correction, was at in polypropylene or a different resin? Maybe you could talk little bit about which region of the world that was in? Or whether it was multiple regions, and, you know, your customer concentration in that product category? 
Hudson La Force: This was one of our largest customers and they made a decision to significantly reduce the production – their production on this product line in response to high inventory levels that they were experiencing. And, Kevin, I'm not going to be able to add more color. I'm not going to be able to share any customer confidential information.
Kevin McCarthy : Okay, thank you.
Operator: Thank you. Our next question comes from John Roberts with UBS.
John Roberts : Thank you. It sounds like IMO 2020 is going to provide a very strong finish to this year. Is it too early to tell whether things will drop off into early 2020 for you? Or do you think the strong fourth quarter is going to carry forward into the first quarter? 
Hudson La Force: John, thanks for that question. I think that the momentum carries into 2020, and if you think about – if you think about the dynamics that’s happening with our customers, you have one set of customers that have been operating hydroprocessing equipment for a while, those units are running hard, they didn't have to make new investments to capture the benefits of IMO 2020, call those are run rate customers where we’ve seen strong demand for a long time, and I expect that to continue. Then there's another set of customers that have made investments to take advantage of IMO 2020 and those customers are busy this year and some of it will be next year bringing online a new equipment that allows them to take advantage of the new fuel specs. And so, some of those customers are finishing up those projects this year. We expect to deliver catalysts to them this year. For the projects that finish up next year, we would expect a catalyst – we would expect to deliver catalysts to them next year. So, there will be strength in both years as our customer’s fully position to take advantage of this.
John Roberts: And then, secondly on the MTO catalyst business in China, I know it's small, but there are still several more MTO start-ups I think going on this year and into next year. And so, I would expect that volume demand is pretty good for MTO catalysts there? It’s just a profitability problem given the MTO profitability and I don’t know if you have a lot of Chinese competition there as well?
Hudson La Force : Yes, I – you ’re instincts are right, John. This was a market that we judged to be quite attractive a few years ago. We made some investments, developed some products and entered the market, and frankly enjoyed a couple of pretty good years. But since then, the market has gotten a lot more crowded, the profitability isn't what we wanted to be, and so, we made the decision to shut down those operations, and take those dollars and reinvest them someplace else. 
John Roberts: Okay, thank you.
Operator: Thank you. Our next question comes from Bob Koort with Goldman Sachs. 
Bob Koort: Thank you very much. I had some – I was wondering on the Philadelphia energy issue, is it certain that, that refinery won't be restarted? And then secondly, thinking about replacing those volumes elsewhere. How easy is it to do that? I guess I get the sense that a lot of these catalyst contracts are very specific to the units you sell into, so just wondering how easily you can fit it or displace, you know, maybe a competitor sales at another refinery to offset that loss?
Hudson La Force: Thanks, Bob. The – and I’m just going to share what’s been publicly communicated. In PES's bankruptcy filing, they did talk about, you know, an objective of trying to, you know, restart that refinery or maybe sell that refinery to somebody else that would restart it. But that would only occur after, you know, a cleanup and reconstruction. And so, for our planning purposes, we’re assuming no volume from that location this year or even next year. And to the second part of your question, you know, it does take some time to sell the right catalyst technology to a customer, but we’re constantly engaged with customers and potential customers. As we’ve learned about the refinery incident, one of our immediate reactions was, okay, let’s start building a pipeline with customers to replace this volume. It takes time; it is a technology sale as you noted. I expect little if any benefit this year, but by the first half of next year, I would expect to see the results. The sales cycle is somewhere between six months and 12 months depending on the customer and the amount of technology testing that they want to do. It’s important to note for everybody, none of these changes are focused on getting value for the technologies that we sell or are focused on the pricing momentum that we have.
Bob Koort : Great. And I could follow up on IMO, it sounds like you're seeing some of that business start to come in sight. As you see the change and the shifts, you’re seeing to help meet those specs, has it changed your view on how the industry is going to meet IMO 2020 whether its, you know, change in fuel mixture, whether it's putting scrubbers on ships? Has that evolved at all through the year or changed? How you think compliance is going to be met there?
Hudson La Force: I think thematically it's all consistent with earlier views. We're not seeing any changes in customer behavior that are directionally different than what we would have thought at the beginning of the year. There's timing about how fast scrubbers will be put in place. There's timing, as I commented on John's question, there's timing about how fast equipment will come into service and things like that. But I think that's more about timing than direction.
Bob Koort : Terrific. Thanks for the help.
Operator: Thank you. Our next question comes from Mike Harrison with Seaport Global Securities.
Mike Harrison: Hi. Maybe just continuing on this discussion about IMO 2020 and the expectations of ART having a very strong Q4. Just wondering what your confidence level is around, potentially some of that demand slipping into 2020? And if that is the case, I mean, would that just be related to timing and delays, or do you feel like there maybe is some change in how they're viewing the regulation playing out?
Hudson La Force: Thanks, Mike. I – there's no change in how the regulation is going to play out in our view, and we've seen no hesitation with our customers in terms of moving forward with their plans. And so, there is some timing here. As we commented in the prepared remarks, we've seen some volume shift from Q2 into Q3 and Q3 into Q4. It's made Q4 a little bigger than ART than we had thought at the beginning of the year. But we've got pretty good visibility into where our customers are with their projects. And so, our best visibility into that is reflected in the thinking in this morning's update.
Mike Harrison: Alright. And then wanted to ask also on the catalyst gross margin number, you were up a little bit year-over-year. But I guess with pricing up, Takreer being fully up and running and potentially helping mix and utilization, can you help us understand why that catalyst margin number couldn't improve a little bit more?
Hudson La Force: I’d focus on it sequentially, which is really where you would start to see the benefits of the most recent pricing activity and the startup of Takreer. And I don't have it in the top of my mind, oh, and Bill just gave me a note. Bill help me with the…
Bill Dockman: Sure.
Hudson La Force: …sequential improvement in catalyst gross margins.
Bill Dockman: Yes. I think another factor in Q2 that held the margin back a little bit. We did have a turnaround at one of our specially catalyst plants. So that had a little bit of a one quarter negative effect on margins as well.
Hudson La Force: Thank you, Bill. But margins were up strongly sequentially 150 basis points, which reflects the progress we made with pricing, the customer coming back online that you referenced, offset a little bit by the turnaround we had in Q2 that Bill referenced.
Mike Harrison: Alright. Thanks very much.
Operator: Thank you. Our next question comes from Mike Sison from KeyBanc Capital Markets.
Mike Sison: Hi guys. When you think of discrete items, is it possible to get a lot of that business back, I guess, are replaced or moved into other areas by 2020?
Hudson La Force: I would expect most of it to come back in 2020, Mike. And let me give you some color on that. On the FCC side, we’ll get all of that volume back in 2020. It would just be a question of when, but I would expect first-half. On the MT, on the manufacturing plant disruption, there was really very little volume lost. It was – we incurred some extra costs to make sure we kept our customers whole, a little volume lost. On FCC, the customers’ inventory correction is temporary. We expect them to resume manufacturing next year and we would expect them to begin buying catalysts from us again. Another point that I'll make at this juncture is, we will have insurance recoveries in 2020 as well. And so, if there's any gap in the recovery from a commercial perspective, we’ll get additional insurance benefits in 2020.
Mike Sison: Right, great. And then maybe as you think about FCC catalyst, can you maybe walk us through kind of like the underlying growth in the industry as you head into 2020? They're probably new plans, new opportunities that could help support some of the growth next year?
Hudson La Force: Sure. So, FCC catalyst is a – the demand drivers or the growth drivers are demand for transportation fuels, and demand for propylene coming out of refinery units. And the demand for transportation fuels grows 1% to 2% a year. It's actually a very stable demand pattern if you look over many years. Even if you look back in the 2008, 2009 recession, demand for transportation fuels is a pretty robust demand series. And so, we would expect that level of demand to continue into next year. Demand for propylene at our refinery units has been growing, and we expect it to continue to grow. Our expectation is that, it adds at least a percentage point in growth to the demand for FCC catalysts that keeps us in the low single-digit for volume growth and FCC catalysts and we see that stable next year. On hydro processing catalysts, that demand is driven in small part by the demand transportation fuels. But to a much greater extent, by the demand for clean fuels, you all well know and IMO is an important part of that, especially this year and next year. But whether it's IMO or another increasing clean fuels regulation that provides strong support to demand for hydro processing catalysts. We've said high single digits and that business has been tracking to that for a number of years, and I think it will next year too.
Mike Sison: Great. Thank you.
Operator: Thank you. Our next question comes from Chris Kapsch with Loop Capital Markets.
Chris Kapsch: Good morning, I had a follow-up on the pricing dynamic and I guess, focused on FCC catalysts. I'm just wondering if you could just – I'm assuming that the restart of Takreer career sort of given that refineries configuration was skewed towards propylene maximization, I'm assuming that that had a little bit of beneficial effect on the pricing dynamic. I'm wondering if you could just parse out on an apples-to-apples basis, if there's a way to look at that what the pricing comp might look like? And then I had a follow-up?
Hudson La Force: Chris, I – without telling you about the economics of a specific customer, I'm not sure I can do that. But I will tell you that the sequential improvements in pricing and margins were only in part due to that one customer. We are making good progress with many customers, and I'll probably just leave it at that, Chris.
Chris Kapsch: Okay. And then Hudson you commented on sort of efforts to, I guess, fill the void that could be left from this some if this refinery shutdown Philadelphia is permanent, you would attempt to do that without affecting the overall effort to get value for your FCC products. But I'm just maybe you could provide more color on that. And also, just curious, like, ultimately, if demand for refined product is healthy, the global complex, it's kind of a zero-sum game. So presumably, if that refinery is down, there's other refineries that are picking up its slack in terms of diesel fuel and gasoline and so forth. I'm just wondering, I mean, shouldn't you be just naturally picking up some additional catalyst sales to other neighboring adjacent refineries? And is that factored into your assumptions at all, at this point?
Hudson La Force: Yes. Chris, your analysis is exactly right. The demand for transportation fuels on the East Coast didn't change because of this event. And so that fuel is being supplied by other refiners either in the region maybe brought up from the Gulf Coast, maybe even imported from Europe. And so, we do have customers. We have other customers in the East coast. We have customers on the call. Europe of course. And so there is a little bit of a natural offset that happens as those customers pick up or fill the production gap, but we obviously don't have 100% share and so as we look to balance our share, it drops initially in a situation like this, recovers a little bit as customers – the customers fill the gap as you noted, but wouldn't recover fully and thus we picked up additional volumes at other customers.
Chris Kapsch: Okay. Fair enough. Thank you, Hudson.
Operator: Thank you. Our next question comes from Paretosh Misra with Berenberg.
Paretosh Misra: Thanks. Good morning. In terms of moving this North American FCC catalysts customer what does it do to your mix, like, the product you were selling to them, were they very high end or or maybe middle of the pack?
Hudson La Force: I appreciate the question. I don't think there is any significant change in mix. They were buying a good value technology for us, but they were mostly manufacturing for transportation fuel. So, a balanced good customer. It’s sad to see this. They were a highly valued customer.
Paretosh Misra: Got it. Understood. And then second, and I apologize if you already covered that in your prepared remarks, but can you give us an update on the hydroprocessing plant at Lake Charles? What’s the current status, when do you think it will start making an impact on your revenue? Thank you.
Hudson La Force: Sure. We’re on track for mechanical completion at the end of this year and so no financial benefits this year, but we do expect the plans to start of next year. Early next year and with sales in volumes coming as soon as it starts up. Those volumes are identified. The selling activities are, most are already complete and we expect the plant to start up with good utilization.
Paretosh Misra: Great. Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from Laurence Alexander with Jefferies.
Dan Rizzo: Hi guys. This Dan Rizzo on for Laurence. How are you?
Bill Dockman: Good morning, Dan.
Dan Rizzo: Good morning. Within the Materials Technologies, you mentioned the consumer pharma you were seeing some strength there, I was wondering if that was because you were taking these new contract wins, you are taking share because there are – have been other companies that are suggesting within that space that things have been a little soft for at least for the same quarter and going into the third?
Hudson La Force: Dan, I expect appreciate the question. This is, I don't think any of it, certainly not any material part of it is with new customers. I think it’s existing customers ramping up production of their products.
Dan Rizzo: Okay. I mean so this increased penetration as opposed to just general market strength or I mean…
Hudson La Force: Well. I mean some of it is just the market it is, this has been a nice growing market for us, but we are outperforming the market and I think that’s primarily with customers ramping up production of existing products that we’ve been on already.
Dan Rizzo: Okay. And then, I think you just mentioned the chemical processes, there were some order timing issues, that would suggest that you are going to make that up in the third quarter then or later in the year?
Hudson La Force: Or some of it, we had a strong first half. This is primarily in adsorbents. We had a strong a strong first half, Q3 won't be quite as strong as the first half and then little bit of a recovery in Q4.
Dan Rizzo: Alright. Thank you very much.
Operator: Ladies and gentlemen, as I'm showing no further questions in the queue at this time, thank you for joining our question-and-answer session. I would now like to turn the call back over to Mr. Jeremy Rohen for any closing remarks.
Jeremy Rohen: Thank you, Sherry, and thank you everyone for your time today and your interest in Grace. We look forward to seeing you in the quarter.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes the program. You may all disconnect and have a wonderful day.